Executives: Richard Downey - Vice President of Investor & Corporate Relations and Market Research Michael M. Wilson - Chief Executive Officer, President and Director David J. Tretter - Executive Vice President of Procurement and Executive Vice President of wholesale sales of UAP Holding corp Ronald A. Wilkinson - Senior Vice President and President of Wholesale Business Unit Thomas E. Warner - Vice President of Retail Distribution and President of Crop Production Services Inc
Analysts: Jacob Bout - CIBC World Markets Inc., Research Division Kevin W. McCarthy - BofA Merrill Lynch, Research Division Edlain S. Rodriguez - Lazard Capital Markets LLC, Research Division Kurt Schoen - Credit Agricole Securities (USA) Inc., Research Division Joel Jackson - BMO Capital Markets Canada Michael E. Cox - Piper Jaffray Companies, Research Division Adam Schatzker - RBC Capital Markets, LLC, Research Division Ted Drangula - Morgan Stanley, Research Division Mark R. Gulley - Gulley & Associates LLC P.J. Juvekar - Citigroup Inc, Research Division John Chu - AltaCorp Capital Inc., Research Division Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division John Hughes - Desjardins Securities Inc., Research Division Robert B. Winslow - National Bank Financial, Inc., Research Division Donald Carson - Susquehanna Financial Group, LLLP, Research Division Ian Horowitz - Topeka Capital Markets Inc., Research Division Brian MacArthur - UBS Investment Bank, Research Division
Operator: Good day, everyone, and welcome to today's Agrium Second Quarter Conference Call. [ Operator Instructions ] As a reminder, this call is being recorded. Now for opening remarks and introductions, I would like to turn the conference over to Mr. Richard Downey, Vice President, Investor Corporate Relations. Please go ahead, sir.
Richard Downey: Thank you, operator. Good morning, everyone, and welcome to Agrium's 2012 Second Quarter Conference Call. On the phone today to review and discuss our results is Agrium's leadership team, including Mr. Mike Wilson, President and CEO of Agrium. As we conduct this call, various statements that we make about future expectations, plans and prospects contain forward-looking information. Certain material assumptions were applied in making these conclusions and forecasts. Therefore, actual results could differ materially from those contained in our forward-looking information. Additional information about these factors and assumptions are contained in our current quarterly report to our shareholders, as well as in our most recent annual report, MD&A and annual information form filed with Canadian and U.S. Securities Commissions, to which we direct you. I will now turn the call over to Mr. Mike Wilson.
Michael M. Wilson: Thank you, Richard, and welcome, to everyone joining us today. It's a pleasure to have the opportunity to review Agrium's second quarter results with you and provide an overview of our outlook for the crop input market as we look ahead the to rest of the year. Agrium's ability to capitalize on the strength and the agricultural fundamentals was on full display this quarter as we delivered net earnings of $5.44 per diluted share, which made the second quarter and first half of 2012 the strongest in company history. Our outstanding performance this quarter was the result of strong earnings for all 3 of our business units, including record EBITDA for both Retail and Wholesale as we benefited from our significant competitive advantages and strong earnings leverage across the crop input sector. Our geographic and product diversity also enabled us to capture additional value this quarter, stemming from results in our crop production business and robust demand for crop inputs in late spring from Western Canada and the northern U.S. plains. In addition to delivering excellent operational results, we also took the opportunity to demonstrate our commitment to returning capital to shareholders this quarter by more than doubling our semiannual dividend to $0.50 per share, our second substantial increase since December. We firmly believe that the proven strategy and strength across all of our businesses, combined with our solid and stable cash flow generation, will afford us the opportunity to continue to deliver achieving our growth objectives, while also enabling us to continue to provide further increases in return of excess capital to shareholders. With this in mind, we announced a share repurchase program of $900 million in association with the sale of the Medicine Hat facility that was announced last night. The sale of the equity position in the Medicine Hat nitrogen facility represented a compelling return for this asset. In essence, Agrium will obtain the retail business from Viterra for about $175 million plus working capital of approximately $400 million. While our earnings are a testament to the strong demand for crop inputs that existed throughout the first half of the year, the outlook for our business for the remainder of 2012 and into 2013 is also very promising. Record grain and oilseed prices will provide growers around the world with the economic incentive to expand acreage and to optimize their use of Agrium's complete line of Agrium products and services. I'll return to discuss the outlook in more detail shortly, but we'll first take a few minutes to review our quarterly results. Our Retail results speak for themselves this quarter and illustrate our ability to continue successfully growing our earnings base by capturing a significant opportunity in the global crop input space. Retail achieved its highest second quarter and first half earnings in our history, with EBITDA topping $700 million for the first half. Retail EBITDA for the last 12 months surpassed $900 million, significantly demonstrating the rapid progress that we've made towards achieving earnings growth goal for retail. This is even before accounting for the future earnings from Viterra's retail assets. This strong performance was due to the continuation of robust demand for crop input products and services across all products and most regions. Retail's total EBITDA to sales margin rose to 9% in the first half of 2012 and over 10% in the North American market. Contributions from numerous small retail acquisitions made over the past 12 months added just over 2% to our sales in the first half of 2012, with a similar percentage contribution towards expenses and earnings during the period. The EBITDA to sales margin for these new acquisitions is estimated to be in line with our average rate even before all potential synergies have been captured. Retail's networking capital as a percentage of the last 12 months sales for our North American operations decreased by 19% -- or decreased to 19% as of the end of June. Gross profit for crop nutrients in the second quarter reached $400 million, up 6% over last year, while first half gross profit was up 13% year-over-year. The early start to spring season resulted in a much higher-than-normal proportion of nutrients being sold in the first quarter. On a first half basis, nutrient volumes were up by roughly 8% over last year, which speaks to the strength of grower demand this season due to higher acreage and strong crop prices and cash margins. Crop nutrient margins this quarter were 17%, up 1% from the same quarter last year and 2% higher than the first quarter of 2012. Crop protection gross profit was also $400 million in the second quarter of 2012, a 23% increase over the same quarter last year. This was due to higher sales volumes across all of our global product lines as well as slightly higher margins. Higher volumes were due to a combination of increased corn acres and the wide-open planting season in North America this year. Crop protection product margins were up 1% from the second quarter last year due to a higher proportion of private label product sales and an increase in margins from our landmark business. Higher sales of soybeans and small grains as a percentage of total seed sales contributed to the slight decline in gross profit from seed this quarter as compared to the same period in 2011. On a first half basis, seed sales surpassed $1 billion and gross profit continued to show year-over-year increases. Gross profit from the merchandise and the services and other segments demonstrated significant year-over-year improvement, both on a second quarter and first half basis. This is another example of our ability to capture the incremental value associated with the greater demand from growers for our custom application services resulting from strong industry fundamentals. Our Wholesale business also delivered outstanding results this quarter as we leveraged our competitive strengths in nitrogen in particular in order to achieve EBITDA of $686 million, our highest ever of the second quarter. The strong performance also contributed to record first half EBITDA of over $1 billion. Gross profit for our nitrogen business reached $431 million this quarter, a 33% increase over the previous record reported in the second quarter last year. This was driven by a combination of higher prices and substantial reduction in costs as a result of our North American gas advantage. Nitrogen gross margins were an impressive $332 per ton this quarter, up almost 50% from the same period in 2011. Products gross profit this quarter was slightly lower than last year, due mainly to the lower domestic volumes resulting from tight inventory availability, whereas international sales volumes were largely unchanged. Our gross margin on a per ton basis was $299 in the second quarter of 2012, just $5 lower than the same period last year. Our phosphate operations contributed gross profit of $42 million this quarter, down from last year due primarily to lower prices and higher manufacturing costs associated with both of our phosphate facilities taking planned maintenance turnarounds in June this year. Higher sulfur and rock costs also contributed to some of the cost increase. Our average realized sales price of $713 per ton decreased $82 compared to the second quarter last year when phosphate market conditions were extremely tight. As a result, per ton margins were lower than the same quarter last year, but were still higher than our U.S.-based phosphate peers. Agrium Advance Technologies reported EBITDA of $20 million this quarter, which matched its previous record for second quarter and exceeded the $18 million reported in the same quarter last year. This was supported by higher earnings from acquisitions made over the past year, as well as stronger sales in our direct solutions segment. Our expansion project is more than double ESN production capacity and our New Madrid capacity, remains on schedule and on budget for completion during the third quarter this year. Once complete, the additional capacity will allow us to continue adding value for growers in our key agricultural markets, especially given the economic benefits that ESN can offer in the current crop price environment. Moving on to the outlook, grain and oilseed prices have risen dramatically over the past 2 months as several significant weather-related problems have reduced crop production expectations in 3 key growing regions, with the most notable being the wide-scale damage seen in the U.S. Corn Belt. U.S. corn condition ratings are at the lowest levels since the severe drought in 1988 when yields came in 25% below trend levels. In addition to the crop damage seen in the U.S., Russian and Ukraine reproduction and export forecasts have been reduced significantly, and Indian monsoon rains have been below average levels so far in 2012. While the U.S. drought will impact both growers and consumers of grains and oilseeds, it is fortunate that most growers in the U.S. entered the 2012 season with historically strong balance sheets and are also covered by crop insurance, which should assure significant cash flow for purchases of crop inputs in 2012, '13. Globally, growers in geographies with more favorable growing conditions, such as those in Western Canada and the U.S. northern plains, as well as growers in the southern hemisphere, stand to be the largest beneficiaries of the recent strength in crop prices. There's been a lot of speculation about the impact of the drought the U.S. Corn Belt may have on nutrient demand this fall. Historically, nutrient use level increases in years following droughts, in part due to strong acreage response to higher prices. Plants use the majority of nutrients during the early growing stages and the fact that the drought and heat hit relatively late during crop development is positive for nutrient removal. This fact, combined with the long-term trend of declining phosphate and potash levels in many soils and the record grain and oilseed prices should favor continued nutrient use for the next growing season. However, current brokers' sentiment is likely to result in slight reduction or delay in application rates for phosphate and potash this fall, particularly in the hardest hit regions in the U.S. Corn Belt. In terms of the nitrogen market, urea prices declined in June as the spring season wrapped up, but it rebounded off of their lows with the north American market granular urea market maintaining a strong premium. The strength in crop prices should be supportive of the strong global nitrogen demand in the second half of 2012. The only new global nitrogen facilities expected to come on stream for the rest of 2012 are the 2 Algerian facilities. The global phosphate market has been balanced to tight over the past couple of months, aided by India purchasing DAP on the spot market. Import demand from Brazil has picked up over the past couple of months and tight domestic inventories and strong crop prices are expected to support import demand in the second half of 2012. China is in the midst of its low export tax season, but is expected to ship lower levels of phosphate fertilizer this year. Modern phosphate project also continues to struggle, bringing capacity utilization above 50%. Global potash deliveries are -- have improved over the past couple of months, but North American producer of potash inventories remain at relatively high levels. Chinese potash imports are up over 20% on a year-to-date basis versus last year, and Chinese buyers are currently negotiating second half contracts with key potash suppliers. Indian product purchases have been impacted by lower domestic subsidies and devaluation of the rupee. However, we believe there's been a drawdown in end-user inventories globally in the first half of 2012 and we expect replenishment of the pipeline in the second half of the year. In addition to delivering excellent operational results this quarter, we've remained focused on taking a balanced approach to continuing to prudently grow the company, while at the same time providing significant returns of capital in order to create near- and long-term value for shareholders. Our potash expansion project is proceeding as planned and we continue to look at growing our North American nitrogen capacity. Our Retail business has proven itself time and time again to deliver outstanding results through a combination of growing our base business and pursuing accretive acquisitions, such as the Viterra deal. Our second quarter and first half results are a clear indication of our ability to capitalize on the opportunities that the supportive fundamental backdrop has presented and we are confident that we'll continue to deliver significant value for our shareholders through the remainder of 2012 and beyond. With that, operator, I'd like to now open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Jacob Bout with CIBC.
Jacob Bout - CIBC World Markets Inc., Research Division: My question is on the chemical sales outlook in the second half of the year. Is there any change in your outlook as far as rebates and overall volumes with an increase in [indiscernible] rates due to the drought?
Michael M. Wilson: I'll get Dave Tretter to comment on that. Dave?
David J. Tretter: Hello, Jacob. We don't see any material change in the chemical sales in the back half. There may be some reduction in the fertilizer sales -- excuse me, the fungicide sales, but we don't expect it to be material.
Jacob Bout - CIBC World Markets Inc., Research Division: Okay. And then just on the -- as a follow up here on the retail side, I mean, obviously, quite strong results for the first half of the year. But in early spring, does that change the typical seasonality that we've seen as far as how we should be looking at the third and fourth quarter for retail in particular?
David J. Tretter: Richard?
Richard Downey: Well, I think the biggest positive from the early spring is obviously, the crops were planted earlier and the fall season should have a wider window. I think that would be a positive. I don't see any -- with the reduction that Dave mentioned on fungicides, the third quarter didn't really get pulled into the second quarter, so I -- third quarter being kind of our average in this fourth quarter, we'll have a wider window.
Operator: Our next question comes from the line of Kevin McCarthy with Bank of America Merrill Lynch.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: I was wondering, I just had a similar question on crop protection. Can you comment on how the drought will impact demand looking ahead to the 2013 planning season? I think you made some remarks on removal on the nutrient side, but elsewhere among the inputs, just wondering how you think herbicide, insecticide and fungicide demand might respond to the increase in the commodity complex looking ahead to the next planning season?
Michael M. Wilson: Dave, you want to try to answer that or crack at that?
David J. Tretter: Sure. Kevin, we really don't see any impact for next year's crop protection sales. Commodity prices are strong, they are this year. We expect farmers to plant large acreage and to protect their crops from both weeds, disease and pests.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: So no positive benefit, in your view, from an elasticity response to demand?
David J. Tretter: The crop prices were high this spring. We expect to continue next year and we don't see any big change, either up or down, in the crop protection market next year.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Okay. And then as a follow up, I was wondering if you could provide an update on the various nitrogen expansion projects that you're working on and also comment on where you've applied for permits and what those timelines are looking like?
Michael M. Wilson: I'll get Ron Wilkinson to comment on that.
Ronald A. Wilkinson: Hi, Kevin. We're advancing all 3 projects. We've got small teams working on each one. Those 3 projects, again, just to remind you, are a debottleneck of our Redwater urea unit, the second one is a debottleneck of our Borger ammonia unit, but a new urea plant there and then the third is the greenfield. On the greenfield, we can't give you any locations quite yet. We are negotiating on a few different land options, but we're not at a point where we're identifying specific sites.
Operator: Our next question comes from the line of Edlain Rodriguez with Lazard Capital Markets.
Edlain S. Rodriguez - Lazard Capital Markets LLC, Research Division: Just a follow-up on that, on the extension project question. I mean, now that you couldn't fall onto the minority stake at Medicine Hat, I mean, does that change the timeline of those brownfield expansion projects? I mean, are you going to accelerate the timeline or does it not have any impact?
Michael M. Wilson: It does not have any impact. We were moving as fast as we can on the nitrogen expansions.
Edlain S. Rodriguez - Lazard Capital Markets LLC, Research Division: Okay, that's fine. Another question, in terms of what the distributers and retailers are doing out there, are you seeing any evidence at all that they are becoming a little less risk averse, given that crop prices are high, farmers will plant a lot of acreage next year or is this probably still the same for them in terms of only buying when necessary with no desire to hold an to any inventories at all?
Michael M. Wilson: We haven't seen any change. As you're aware, they have been more cautious over the past 2 years and it'll likely take them a little while before that cautiousness goes away because they're not so much looking at crop prices, but they're looking at any sort of volatility that they are concerned with in nutrient prices.
Operator: [Operator Instructions] Our next question comes from the line of Mark Connelly with CLSA.
Kurt Schoen - Credit Agricole Securities (USA) Inc., Research Division: This is actually Kurt Schoen, filling in for Mark. So you noted that your working capital as a percentage of sales has been trending down, which I guess kind of makes sense based on what we've been hearing about dealer behavior. But what other levers are you planning to reduce your working capital? And what other levers going forward can you possibly pull to, I guess, reduce it further?
David J. Tretter: Well, the main thing that -- the main difference is fertilizers. There were some payable terms this year that we haven't seen in prior years. We have really worked to get our fertilizer inventories down, we're down about 35% below a year ago at the end of June on tons basis. So it's -- the primary reason is the fertilizer.
Michael M. Wilson: But we are always looking at optimizing the working capital levels.
Operator: Our next question comes from the line of Joel Jackson with BMO Capital Markets.
Joel Jackson - BMO Capital Markets Canada: Maybe if you could get Richard to comment a bit on some of his buying intentions for NP&K this summer and fall. You commented, of course, you might see a slight reduction or delay in potash and phosphate purchases by farmers later this year. Maybe you could tie in to that answer your views in sort of crop insurance payments, some people get back to old test results and how that placed beside your buying intentions in retail?
Richard Downey: Well, we've had -- we saw quite a few turns, so we cannot just go naked on not buying early for anything. We've covered a little bit of our liquid nitrogen requirements when run-up went on the corn prices. We had some phosphates and potash purchase for the fall, still well below anticipated the sales levels for this fall. We'll be luring in on up to the fall season.
Joel Jackson - BMO Capital Markets Canada: Okay. And in terms of your potash and nitrogen pricing right now in the U.S, it seems that potash prices have started to trend down a little bit from competitive pricing in the Pacific Northwest and other places, U.S. premium prices for urea seem to be coming down a little bit as there's a large important lineup for the late summer and fall. Can you give us some comments on sort of where you see pricing in the next couple of quarters?
Richard Downey: Well, this is typically the time of year where you see a little bit of lull in pricing, but Ron, do you have any flavor you want to add?
Ronald A. Wilkinson: The only thing I'd say, in addition to the seasonal lull, is that we've seen tremendous increase in crop prices. And we've really not seen the follow-up response on nutrients and the pipeline is fairly empty. You heard Richard talk about where he is on the various nutrients. So we think there are -- even though pricing is soft right now, there should be some very positive momentum as we move towards the fall.
Joel Jackson - BMO Capital Markets Canada: Has the pricing in Brazil, in terms of your offshore business, has that surprised you? Or again, do you think it's just something that's just going to come back in the fall?
Ronald A. Wilkinson: I really think it'll come back in the fall. I mean, it's Brazil's spring, but they should be looking at one heck of a great spring there, given where corn and bean prices are.
Operator: Our next question comes from the line of Michael Cox with Piper Jaffray.
Michael E. Cox - Piper Jaffray Companies, Research Division: Considering there is a likelihood of the early harvest, can you talk about the industry's broader ability to meet demand for fall nitrogen application rates as farmers prep these fields for another big corn crop this year?
Michael M. Wilson: If you look at the supply-demand dynamics, if you look at nitrogen, there's only a couple of new plants coming up. It's really a function of what happens globally with the Chinese. We don't see -- potash is at slightly long right now but the other ones are fairly snugged to balanced, and given that the crop prices are where they are, I think things should tighten up.
Michael E. Cox - Piper Jaffray Companies, Research Division: Okay. And then on the Medicine Hat sale, does that have any implications on the regulatory process in Canada for your portion of the Viterra deal that's left over?
Michael M. Wilson: The sale in itself? No. We sold that. There is always some risk with the Competition Bureau, but in essence, when we've got $915 million plus the earnings for about 8 months, we're getting close to $1 billion. It's a good sale for us. And CF is the logical owner of that. I think it's a good purchase for them.
Michael E. Cox - Piper Jaffray Companies, Research Division: One last quick question on Brazil or General South America. Given, as you mentioned, the pricing for corn and beans, any thoughts on planted acreage increases that we might see in Brazil and Argentina across those 2 crops?
Michael M. Wilson: I think it's a little early to be forecasting, but there's certainly no reason for it to be down. I think they'll plant every acre they can.
Operator: Our next question comes from the line of Adam Schatzker with RBC Capital Markets.
Adam Schatzker - RBC Capital Markets, LLC, Research Division: Just a couple of broad questions here. There's been a little bit of speculation in the press that there might be a change to the ethanol mandate. Are you hearing anything there?
Michael M. Wilson: No, not really. We're seeing -- we're getting a little bit of an echo here -- but we're seeing the ethanol producers cut back a little bit. We don't see any change in the program at all.
Adam Schatzker - RBC Capital Markets, LLC, Research Division: Okay. And the other thing, again, on press speculation is potential in, I wouldn't say delays, but a fairly long processing time for insurance claims in the U.S. And do you see that having any potential impact on the farmers' abilities to buy what they might want to for the fall and spring?
Michael M. Wilson: Richard, do you want to comment?
Richard Downey: We think that the common terms that occur in the fall will accommodate the growers to apply fertilizer and still have time to pay within terms when the insurance claims are paid.
Operator: Our next question comes from the line of Vincent Andrews with Morgan Stanley.
Ted Drangula - Morgan Stanley, Research Division: Hi, this is -- it's Ted Drangula, sitting in for Vincent. I guess a little bit more on the outlook, your outlook for the nitrogen market as we move through the back half of the year and into 2013. It seems like the North America still is trading at quite a high premium versus some of the other global markets. How do you see that playing out, I guess, through the balance of the year, with, I guess some of these, I guess, maybe a little bit less, but still some capacity coming on in the second half of '12?
Ronald A. Wilkinson: It's Ron Wilkinson. I think we've got to go back to crop prices again, and what corn and wheat look like and other crops around the world. As we look at the 2012, 2013 fertilizer year, we think there'll be a very high level of demand as we've spoken, the pipeline is pretty empty. Yes, there's a premium in North America, it's a little bit higher than historically, but we think the premium will stay. It's always a question of will international catch up to North America or will North America fall back to international. But given where crop prices are, that's where we always go back to. We think there should be some positive momentum on pricing and supply looks fairly tight.
Ted Drangula - Morgan Stanley, Research Division: And I guess one follow-up. What is the status of the 3 plants in Egypt, and maybe a projection for when those come online. I hear different things, and just wondering what your latest update might be on that?
Ronald A. Wilkinson: Well, we're trying to remain positive in Egypt. There have some -- been some positive events in the recent weeks. President Morissey has apparently stated that it is a priority of the new government for MOPCO 3 to restart as soon as possible. This week, we heard that there is a new head of security in the Damietta area, so we believe that to be a positive move. So -- and we've had some people on the site, assessing the plant and readying for a restart. We've just not had the official go-ahead as of yet. With respect to the expansion projects, no real change. My expectation is that the existing plant will be allowed to restart while we again assess what we'll need to do to re-mobilize on the expansion project. So we're hopeful that the existing plant would restart this quarter and that we could get the expansion projects rolling again in fourth quarter.
Operator: Our next question comes from the line of Mark Gulley with Gulley & Associates.
Mark R. Gulley - Gulley & Associates LLC: I have 2 questions. A lot of good data in the slide deck. I want to refer to Slide 9 for a second, and I know we referred to high crop prices several times as being the driver for fertilizer demand. But I think that one of the things that comes off this slide is that if you assume a somewhat lower corn prices is $6.50, that revenues per acre aren't going to be that much different from historical even though the crop prices are much higher. So maybe you can comment on which you think is more important -- the crop price or farmers' realized revenues per acre?
Michael M. Wilson: The farmer is looking for -- the most important is whatever generates the most cash for the farmer. And so it's hard to trade up. He's always looking at his cost position, his cost of land, his cost of inputs and then the revenue. But you can't really comment on it, what's important to the farmer is he makes lots of cash. And you can see on that slide, he's making lots and we don't see that changing in the near future.
Mark R. Gulley - Gulley & Associates LLC: I also want to weigh in again on this application rate issue, seems to be a lot of interest to investors. To the extent that yields are much lower than historical levels and certainly lower than what farmers planted -- planned on and maybe fertilized for, to the extent that crop removal is down, let's say, I don't know, 20% on corn, given the difference in yield, are you still sticking to the fact that you believe that application rates won't change that much? And I think, and particularly, as how farmers are looking at it. What are your retail farmer customers telling you at this time?
Michael M. Wilson: I'll get Tom Warner to comment on that, he's talking to the farmers all the time.
Thomas E. Warner: Mark, Tom Warner. I think farmers right now are -- they're confused. It's a crop they haven't seen in many, many years. And -- but they also are looking at this year's prices and the opportunity to sell at $6 in 2013. So I think most of them are willing -- are ready to chin back up and reinvest in the acre. The good farmers, the top farmers will do what they've always done and they keep looking for the opportunity for 2013. There will be a few that may back off, but overall, I'm still pretty bullish on the overall outlook for 2013 starting this fall. Now, we do need rain to make a lot of this happen, particularly for ammonia, but it will happen.
Operator: And our next question comes from the line of P.J. Juvekar with Citigroup.
P.J. Juvekar - Citigroup Inc, Research Division: So can you discuss the nitrogen application in the fall given the dry soil? How much moisture do you need in the soil for nitrogen? And are growers likely to go more into urea instead of ammonia if the soil is dry?
Michael M. Wilson: I'll get Tom to comment on that again, and we do look forward to some rain, though. It's not going to stay dry forever.
Thomas E. Warner: P.J., it's Tom. I -- it's very dry right now. I think the only holdup is going to be ammonia. We need to get some moisture in the ground, number 1, to get the barge into the ground and get the ammonia to the seal. But the only thing that's really going to hold back ammonia application this fall will be some moisture. But if we get some moisture, farmers will all put the ammonia on because they have to.
P.J. Juvekar - Citigroup Inc, Research Division: Okay. And my second question was on phosphates. Your gross profit declined there. Can you discuss your higher rock cost that you mentioned, at Kapuskasing? And next year, as you get the OCP rock, how do your costs change from this year to next year?
Michael M. Wilson: Yes, I'll get Ron to comment. I do remind you that our margins are still better than our peers. But Ron?
Ronald A. Wilkinson: P.J., I guess, first of all, our phosphate margins were impacted in the second quarter by the turnarounds, as Mike mentioned in his opening remarks. And just a rough calculation would say our margins were down about $75 per ton because of the turnaround, so you could -- to normalize, you could add that back in. Going forward, you will see our rock costs from Kapuskasing creep up as we move towards the end of the mine life, which is second half to second quarter next year. With respect to the Moroccan rock, the costs are going to depend on the finished phosphate price because as we've mentioned previously, the contract is based on some profit sharing with a floor for Agrium and then giving some upside on the rock price. So it is very hard to predict the OCP rock price, but what I would say is at today's phosphate prices, the OCP rock would be somewhat higher. But if you again recall in our investor day package, we did some comparisons of what Redwater would look like under an OCP rock contract.
P.J. Juvekar - Citigroup Inc, Research Division: Right. And just lastly on housekeeping, what kind of cash flow do you expect from Medicine Hat assets between March 31 and the deal closing?
Michael M. Wilson: We're looking in that range of around -- we don't have the exact numbers, but you're in that $70 million to $80 million range.
Operator: Your next question comes from the line of John Chu with AltaCorp Capital.
John Chu - AltaCorp Capital Inc., Research Division: Just wanted to ask a question about seed sales and just maybe your outlook for pricing on that? I have been hearing that seed corn in the U.S. Midwest is getting hit a bit because of the drought as well and possibly the need to import some seed corn. So I'm just trying to get an understanding here of does this risk present the opportunity to see, maybe, sales being drawn forward for the fear of not having seeds, come planting period? And does that potentially push up seed prices even higher?
Michael M. Wilson: Tom?
Thomas E. Warner: John, probably 70% of the U.S. seed production is under irrigation. So a lot of that is going to be okay. But I do believe with the -- there's going to be some short falls in some hybrids. Obviously, the commodity price itself is going to drive up seed cost for next year. I think you're going to see seed costs probably up 8% to 10% in 2013 over 2012, primarily from just the commodity prices today versus 2 or 3 months ago. Another part of the cost increase is we are going to have to run some -- or grow some seed in South America. Obviously that costs more than coming from here. So there's several things that will tie into it, but I believe we're going to see an 8% to 10% increase in seed prices in 2013.
John Chu - AltaCorp Capital Inc., Research Division: Okay, great. And then just quickly on, just another question on -- following up another question on crop protection sale. So with this drought and the heat, obviously, that probably presents more issue as it relates to disease and pests and whatnot. So is that coming into play right now? Are you seeing that?
Michael M. Wilson: Dave Tretter, do you want to comment on that?
David J. Tretter: Sure. John, we are -- with the higher temperatures, we are seeing a slight increase in the insect pressure out there, but with the dryer temperatures, farmers aren't applying as much fungicide as they would in a normal fall. So if you look at the 2, they almost offset each other, so we don't see any major change going into the third quarter on crop protection usage.
Operator: Our next question comes from the line of Jeff Zekauskas with JPMorgan.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: I was wondering if Agrium had it's own forecast of U.S. corn yields this year?
Michael M. Wilson: We ask that question to ourselves all the time. Richard, Tom, what's your latest guess?
Thomas E. Warner: Well, certainly, they've below what the forecasts have been, and it came out yesterday, I guess, that they were more in line with what we've been thinking -- somewhere in the 120s would be the guess, but that gets very -- it's tough. We get global effects and where we've been last kind of impacts us more on our estimate in probably weighing. We don't do any statistical sampling.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: In the light of drought conditions, do you think that seed corn's availability will be constrained next year, such that it could diminish the amount of corn acres that might naturally be planted?
Michael M. Wilson: Tom?
Thomas E. Warner: Yes, I think there's gonna be limited supplies of certain genetics and trades, but we'll have enough. There's enough production plus seed grown overseas. We'll have enough to get to our 95 million acres, where it might next year.
Operator: Our next question comes from the line of John Hughes with Desjardins Securities.
John Hughes - Desjardins Securities Inc., Research Division: Just had a couple of quick questions on the Viterra. Can you just -- it's a little bit convoluted because none of these deals have actually closed. So we're going through some combination permutation asset sales and et cetera, so how much is Agrium going to pay at the end of the day? It this just net purchase price or the $575 million [ph] that's highlighted in your writeup today? Or is it a different number?
Michael M. Wilson: Well, the number that you've seen highlighted today is about as close as you can get, so it's a great deal for us. We're picking up excellent retail assets with a strong team for approximately a 6 multiple pre-synergies.
John Hughes - Desjardins Securities Inc., Research Division: Okay so $575 million [ph] is there. Now in terms of what it is you're buying, or from a financial perspective, you quoted last year's Viterra's retail portion of that total ag business at around $100 million of EBITDA. Are you acquiring that $100 million or are you acquiring 90% of that? Or what is it you get for the $575 million [ph]?
Michael M. Wilson: We get approximately 90% of that. And again, that's [Audio Gap]e-synergy.
Operator: Our next question comes from the line of Robert Winslow with National Bank Financial.
Robert B. Winslow - National Bank Financial, Inc., Research Division: I apologize if I missed the answer to this question, but just doing some homework here on the modeling. And would you mind, please, elaborating on the scheduled turnarounds for Q3 and Q4? You gave some broader color, but I'm wondering if you could maybe just give a little more minutiae in terms of weeks we should expect down, et cetera?
Ronald A. Wilkinson: Sure. It's Ron Wilkinson. We've got a few going on right now. The first is our Vascoy turnaround and we expect somewhere around 7 weeks right now. I think we quoted 8 weeks earlier, we think we'll be able to do it in 7. That's going to show up completely in the third quarter. One that looks like it could extend into the fourth is our smaller ammonia plant at Redwater. We're doing a complete rebuild of the reformer and that looks to be probably up to 12 weeks, although we've not finished our assessment and put our plants in there. But I think 12 weeks is a good estimate. The other major one is Fort Saskatchewan and it'll be taking 3 weeks down in mid September. So those are the big ones that we're facing and as you model, of course, we've got a 12 week for Vanscoy for next year, which is going to have a big impact in our earnings and I guess my request would be as you all model this, you shouldn't really be hammering our stock price for that one turnaround that's associated with an expansion project.
Operator: Our next question comes from the line of Don Carson with Susquehanna Financial.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: Question on -- I wanted to follow up on Viterra. So if you're going to get 90% of the $100 million you made last year, I would imagine that, that number is going to be up substantially this year, with $6 million additional seeded acres in Western Canada. So just wondering what -- how has that business been doing this year and what's your first crack at the synergies you might get out of the Viterra assets?
Michael M. Wilson: Well, as you saw from their most recent quarterly results, their business is doing fantastic this year. And so you're right, it's up. It's hard for us to get in there until we actually close the deal and get a good feel. We haven't given a value for the synergies yet. We will get sizable synergies, but again, we have to get in there and get a hard look at it, so it's a little too early, Don.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: And then a follow-up on potash pricing. We've seen some weakness in domestic pricing. I noticed your domestic pricing was down sequentially, we're seeing a lot of pressure from barges. So I'm just wondering, what's your outlook for the domestic potash market, in particular with this wide gap between domestic and offshore prices. Even if you adjust for the different grade, it just seems to be very attractive to the Russians and Israelis and others. And I'm wondering what is going to happen when Vanscoy expands because you've indicated in the past that you're going to put all that expanded capacity through your own retail system. So where does the displaced product end up going? Just potash, domestically, is -- hasn't looked this weak for quite some time.
Michael M. Wilson: Well, Vanscoy expansion doesn't come up until 2014, the second half of 2014. And by then, I expect the global markets will have recovered. So given the price of grains, given the strength of the overall market and the fact that we're coming up in about 1.5 years, 2 years, I don't see any problem in placing that product.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: Do you think you can get offshore pricing up to domestic levels or is it going to arbitrage the other way?
Michael M. Wilson: It's -- we think, come the fourth quarter -- third quarter might be tough, but come fourth quarter, you're going to start seeing the international markets arbitrage towards the North American markets in our view.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: Then just a final question on nitrogen. You said, you won't disclose your location yet, but I'm wondering, have you had any discussions with the EPA on permitting? There seems to be a lot of difference of opinion over whether you can get a permit getting carbon emissions and items like that?
Michael M. Wilson: Ron?
Ronald A. Wilkinson: Yes, Don, we have been talking with the authorities in various jurisdictions. I'll say some states -- some counties are more friendly than others, but we see -- right now, we're planning on a permitting process, somewhere around 22 months for a greenfield. We might be able to shave a few months off that, but that's our going-in position. And we do believe we can get a new plant permitted.
Operator: Our next question comes from the line of Ian Horowitz with Topeka Capital Markets.
Ian Horowitz - Topeka Capital Markets Inc., Research Division: 2 quick questions, going after P.J and Mark's margins comments on the nitrogen side. When we look at these moisture levels, Tom, I think you said it's kind of -- farmers need those to put the nitrogen down in the fall. But what is the capacity or potential for kind of a fall roll into spring applications if we don't see -- if this drought extends into a period of -- a longer period than we're expecting right now?
Michael M. Wilson: Tom?
Thomas E. Warner: Yes, the farmers will put ammonia on, if -- again, if we can get the equipment into the ground, but if it does, if it is too dry and we won't -- we can't get the bars into the ground or the ammonia won't seal, we'll have to put it off to spring. And that will be a problem if that happens because it'll be a long jam come next late March or April. So they're going to try very hard to get as much on as they can this fall.
Ian Horowitz - Topeka Capital Markets Inc., Research Division: And will all of that -- will all of that volume transfer to the spring? So will it be kind of 1 plus 1, or will there not be as much of a need or an increased need in terms of missing that fall plant fertilizer?
Thomas E. Warner: Well, the one thing for certain,to grow corn, you've got to have nitrogen and I mean, that's a given, what else are you going to ring to. But nitrogen, for sure -- so farmer will put the nitrogen on. So what doesn't get done this fall, will get done next spring, assuming the acres are there.
Ian Horowitz - Topeka Capital Markets Inc., Research Division: ; Okay. And then that's a good segue. You, I think Tom, you mentioned 95 million acres for 2013, was that just conversational or is that your internal kind of forecast on what we're looking at for North American corn acres?
Thomas E. Warner: Only conversation. With the yield this year, we'll likely have a short fall and so we're going to have to pick up the yield someplace.
Michael M. Wilson: Yes, you get to a point -- it's Mike here, that where they're doing 96 million acres, you come to a point where there aren't a lot of acres left. But our belief is, they're going to maximize acreages on corn next year.
Ian Horowitz - Topeka Capital Markets Inc., Research Division: And to maximize, your thoughts are -- there's 95 and 96, there's not significant room for acreage increase beyond?
Michael M. Wilson: Tom, I guess you could -- we do not do as much rotation.
Thomas E. Warner: There's less rotation, but the prices of crops will dictate that, and the prices of crops will be primarily, the corn, soybeans, a little bit of wheat. But if soybeans would just go through the roof, we'd have a short crop in South America and that would be the offset.
Michael M. Wilson: I think we've got time for one more question, operator?
Operator: Our next question comes from the line of Brian MacArthur with UBS.
Brian MacArthur - UBS Investment Bank, Research Division: 2 quick questions, just on the Argentina facility, obviously, sales are very low and you talked about weakness in the market there. But I just want to check, is that a decline all weakness in the market or was there a turnaround, or are there gas problems, or what's the combination there?
Ronald A. Wilkinson: It's Ron Wilkinson. There's 2 things going on down there. One, there was drought, so demand was off in the second quarter. We expect some of that to come back in the third, plus we'll start our normal export program. The plant has been curtailed by gas for a number of days, but it's not significantly different than last year, and we do see action off that curtailment in the third quarter. So you'll see our [indiscernible] likely losing one month out of the 3 during the third quarter.
Brian MacArthur - UBS Investment Bank, Research Division: Great. And just one other question. I'm pretty sure I know the answer, but just to confirm. The $900 million repurchase program is totally exclusive of whether the Medicine Hat deal closes, right?
Michael M. Wilson: That's correct. Well, on that note, just a few comments. First of all, it has been a great first half for us. Everything is clicking well. The team is working well. All our assets are strong. We look at the fundamentals going forward and they look great, not just for the next 6 months, but for out in the next few years. And if you look at -- our company has grown to the point where you've seen us return capital to shareholders in dividends and share buybacks and we still have a lot of growth in front of us, be it the nitrogen or the potash expansion. And we will continue to opportunistically look at our acquisitions. So thanks for your time and we look forward to working with you in the future.